Operator: Good morning, everyone, and welcome to the Owens Corning Q4 2020 Earnings Call. All participants will be in a listen-only mode. [Operator Instructions]. After today’s presentation, there will be an opportunity to ask questions. [Operator Instructions]. Please also note, today’s event is being recorded. At this time, I’d like to turn the conference call over to Ms. Amber Wohlfarth. Ma’am, please go ahead.
Amber Wohlfarth: Thank you and good morning, everyone. Thank you for taking the time to join us for today’s conference call and review of our business results for the fourth quarter and full year 2020. Joining us today are Brian Chambers, Owens Corning’s Chairman and Chief Executive Officer; and Ken Parks, our Chief Financial Officer. Following our presentation this morning, we’ll open this one-hour call to your questions. In order to accommodate as many call participants as possible, please limit yourselves to one question only. Earlier this morning, we issued a news release and filed a 10-K that detailed our financial results for the fourth quarter and full year 2020. For the purposes of our discussion today, we have prepared presentation slides that summarize our performance and results, and we’ll refer to these slides during this call. You can access the earnings press release, Form 10-K, and the presentation slides at our Web site, owenscorning.com. Refer to the Investors link under the corporate section of our homepage, a transcript and recording of this call and the supporting slides will be available on our Web site for future reference. Please reference Slide 2 before we begin, where we offer a couple of reminders. First, today’s remarks will include forward-looking statements based on our current forecasts and estimates of future events. These statements are subject to risks, uncertainties and other factors that could cause our actual results to differ materially. We undertake no obligation to update these statements beyond what is required under applicable securities laws. Please refer to the cautionary statements and the risk factors identified in our SEC filings for a more detailed explanation of the inherent risks and uncertainties affecting such forward-looking statements. Second, the presentation slides and today’s remarks contain non-GAAP financial measures. Explanations and reconciliations of non-GAAP to GAAP measures may be found in the text and financial tables of our earnings press release and presentation, both of which are available on owenscorning.com. Adjusted EBIT is our primary measure of period-over-period comparisons, and we believe it is a meaningful measure for investors to compare our results. Consistent with our historical practice, we have excluded certain items that we believe are not representative of our ongoing operations, when calculating adjusted EBIT and adjusted earnings. We adjust our effective tax rate to remove the effect of quarter-to-quarter fluctuations, which have the potential to be significant in arriving at adjusted earnings and adjusted earnings per share. We also use free cash flow and free cash flow conversion of adjusted earnings as measures to help investors to evaluate the company’s ability to generate cash and utilize that cash to pursue opportunities that enhance shareholder value. The tables in today's news release and the Form 10-K include more detailed financial information. For those of you following along with our slide presentation, we will begin on Slide 4. And now opening remarks from our Chairman and CEO, Brian Chambers. Brian?
Brian Chambers: Thanks, Amber, and good morning, everyone. I hope each of you and your families are staying healthy and safe. 2020 was certainly an extraordinary year. The global pandemic created unprecedented challenges for all of us, as we saw the virus impact our family and friends, our end markets and disrupt our daily lives on a scale we have never experienced before. Throughout the year, our company faced into these challenges showing the resolve of our people, the strength of our market positions and the value of our enterprise. As a team, our collective focus was and continues to be working together to keep each other healthy and safe, to adapt to changing market conditions and service our customers, and to provide needed support to the communities where we work and live. These efforts are aligned with our company’s purpose and resulted in strong operational and financial performance.  During today’s call, I’ll start with an overview of Owens Corning’s fourth quarter and full year 2020 results before turning it over to Ken who will provide additional details on our financial performance. I will then come back to talk about our outlook for the first quarter, and how we are positioning the company to capitalize on both near-term market opportunities and longer-term secular trends.  I'll begin my review with safety where we continue to perform at a very high level. Our commitment to the health and safety of our employees is unconditional. In the fourth quarter, we achieved a recordable incident rate of 0.40, representing a 37% improvement over the same period in 2019. This lowered our full year 2020 RIR to 0.61, which is an 8% improvement over the prior year.  I'm pleased to note that over half of our global locations worked injury free in 2020. For the quarter, we delivered revenue of 1.9 billion, a 14% increase compared with the fourth quarter of 2019 and adjusted EBIT of 306 million, up 50% from the same period one year ago. All three of our businesses delivered double digit EBIT margins for the second consecutive quarter.  For the full year, we delivered 7.1 billion in revenues, down 1%. Adjusted EBIT was 878 million, a 6% improvement over 2019. Increasing demand for our products, combined with strong manufacturing performance and improved operating efficiencies, resulted in earnings growth for the year despite a slight decline in revenues.  During the back half of the year, we continued to see our end markets recover and improve. In the U.S. residential market, which impacts all three of our businesses and accounts for about half of the company's revenue, demand grew at a strong pace, driven by an increased repair and remodeling activity as well as higher new construction starts. Most of our commercial and industrial markets also strengthened throughout the second half, as projects restarted, manufacturing activity increased and customers replenished inventories. In 2020, insulation EBIT margins grew to 10% despite a 2% revenue decline. In addition to higher residential insulation demand, our ongoing focus on network optimization and manufacturing performance drove the earnings growth in the business. Our composites business also benefited from increased demand, delivering double digit EBIT margins in both the third and fourth quarters. Our focus on higher value downstream businesses and key geographies where we have strong market positions, combined with increased manufacturing productivity, continues to drive our financial performance. And in roofing, revenues increased 2% compared to 2019 and EBIT margins grew to 22% driven by strong volumes in a positive price cost mix. Overall, market demand for shingles grew by 10% versus 2019, driven by above average storm demand and the strong second half remodeling market.  Across our businesses, rapidly improving markets and high demand for our products have created supply shortages and extended lead times. Our manufacturing and supply chain teams continue to work hard to increase the availability of our products and reduce our lead times, leveraging the benefits of both improved productivity and capacity expansion investments. In insulation, as I’ve shared with you last quarter, we have initiated work to restart our batt and roll line in Kansas City. I'm pleased to report that this line is on track to start production this month. We've also increased some additional loose fill production and took actions in our U.S. mineral wool plants to meet growing customer demand.  In composites, we are expanding our glass non-woven capacity adding a new production line next to our current facility in Fort Smith, Arkansas. This will add needed capacity to our network and allow us to optimize costs by replacing our existing smaller production line at the site. We expect to start production in mid 2023 to service a growing number of building material applications. And in roofing, capital investments over the past two years have increased incremental capacity at several of our manufacturing facilities. Our strong earnings performance in 2020, combined with working capital management and disciplined capital investments, led to record operating and free cash flow of 1.1 billion and 828 million. During the year, we also returned approximately 400 million of cash to shareholders through share repurchases and dividend payments. Before I turn it over to Ken to walk through our financial performance in more detail, I'd like to share a few thoughts on our commitment to sustainability. At Owens Corning, sustainability is central to our purpose and represents a competitive advantage for our company. It also is becoming increasingly important to our customers and other key stakeholders.  Even as we face near-term uncertainties from the pandemic, we continue to invest in achieving our 2030 sustainability goals, one of which is to double the positive impact of our products. Our new FOAMULAR NGX product line used in a variety of residential and commercial applications is a great example of this commitment and a testament to our teams who found creative ways to continue this important work remotely.  NGX, launched last month, uses a new blowing agent chemistry with 90% lower global warming potential compared with traditional products without sacrificing performance, demonstrating how product and process innovation can reduce the environmental impact. In addition, we were honored to be recognized as a leader in ESG, earning a position on the Dow Jones Sustainability World Index for the 11th consecutive year, and being named Industry Leader for the DJSI World Building Products group for the eighth straight year. In early April, we'll release our 15th Annual Sustainability Report, in which I invite you to read more about the full scope of our sustainability, performance and progress.  With that, I will now turn it over to Ken to discuss our financial results in more detail. Ken?
Ken Parks: Thanks, Brian, and good morning, everyone. As Brian mentioned, Owens Corning delivered solid results in 2020 against the backdrop of global uncertainty from the pandemic. Our company results were highlighted by record performance across a number of key financial measures. The actions taken by the company, enhanced by the recovery in U.S. residential markets, have driven earnings growth, robust free cash flow conversion, and a strong liquidity position for the company.  Now, turning to our results on Slide 5. For the fourth quarter, we reported consolidated net sales of $1.9 billion, up 14% over 2019, as all three segments delivered revenue growth in the quarter. Adjusted EBIT for the fourth quarter of 2020 was $306 million, up $102 million compared to the prior year. Adjusted earnings for the fourth quarter were $207 million, or $1.90 per diluted share, compared to $125 million, or $1.13 per diluted share in Q4 2019.  For the full year 2020, our adjusted earnings were $566 million, or $5.21 per diluted share, compared to $500 million, or $4.54 per diluted share in 2019. The full year EPS comparison was affected by a few below the line items in 2020. In addition to tax items adjusted out in the first three quarters, we adjusted out a $32 million non-cash income tax benefit in the fourth quarter, resulting from the intercompany transfer of certain intellectual property rights into the U.S. Depreciation and amortization expense for the quarter was $141 million, up $21 million as compared to last year. The growth in the fourth quarter of 2020 was mainly impacted by higher accelerated depreciation from this quarter's restructuring actions. For 2020, depreciation and amortization expense was $493 million, up from $457 million in the prior year, primarily due to higher accelerated depreciation from our restructuring actions and incremental amortization from new finance leases. Our capital additions for the year were $320 million, down $131 million versus 2019. Given the uncertain market environment early in 2020, we took actions to reprioritize capital investments and preserve liquidity. Looking ahead, we'll continue to be disciplined in our capital spending as we focus on delivering strong free cash flow, and we'll prioritize investments that drive growth and productivity.  On Slide 6, you see adjusting items reconciling full year 2020 adjusted EBIT of $878 million to our reported EBIT loss of $124 million. For the year, adjusting items to EBIT totaled approximately $1 billion, largely driven by $987 million of non-cash, goodwill and intangible impairment charges recorded in the first quarter. In the first three quarters, we recognized $26 million of gains on the sale of certain precious metals. We've excluded these gains from our adjusted EBIT. During 2020, we recorded $41 million of restructuring costs with $31 million of costs being recognized in the fourth quarter. The bulk of these fourth quarter costs are non-cash and are primarily associated with restructuring actions in our insulation and composites businesses as part of our ongoing network optimization activity to improve manufacturing productivity and reduce our cost position.  Slide 7 provides a high level overview of full year adjusted EBIT comparing 2020 to 2019. Adjusted EBIT of $878 million was a new record for the company and increased $50 million over the prior year. Roofing EBIT increased by $136 million, insulation EBIT increased by $20 million and composites EBIT decreased by $82 million.  General corporate expenses of $128 million were up $24 million versus last year, primarily due to higher incentive compensation expense associated with improved adjusted EBIT results, and the absence of small one-time gains realized in 2019.  Now, I'll provide more details on each of the business results, beginning with insulation on Slide 8. Insulation sales for the fourth quarter were $728 million, up 1% from Q4 2019.  In the North American residential fiberglass insulation business, while lagged, housing starts in Q4 were higher than the prior year, supply constraints and limited inventories coming into the quarter caused volumes to speed down slightly year-over-year. We continue to be encouraged by U.S. residential new construction demand and the realization of our September price increase. In the technical and other insulation businesses, volumes improved from the time of our Q3 earnings call and finished the quarter up slightly versus the prior year, driven primarily by strong performance in our U.S. FOAMULAR and global mineral wool businesses.  EBIT for the fourth quarter was $106 million, up $17 million as compared to 2019. The EBIT increase was driven by positive manufacturing performance and higher selling prices in North American residential. Overall, volumes for this segment were relatively flat.  For the full year, sales in insulation were $2.6 billion, down 2% versus 2019, with growth in North American residential more than offset by COVID-19 related declines in the technical and other insulation businesses. Overall, volumes for this segment were flat. The decline in revenue was driven by lower selling prices, unfavorable product and customer mix, and the divestiture of a small business in the first quarter.  In 2020, insulation EBIT increased by $20 million to $250 million, primarily due to favorable manufacturing performance and strong cost controls partially offset by lower selling prices and unfavorable product and customer mix. The business delivered EBIT margins of approximately 10% in 2020 with increased EBIT on lower revenues.  Please turn to Slide 9 for a review of our composites business. Sales in composites for the fourth quarter were $547 million, up 14% as compared to the prior year, driven primarily by higher sales volumes. During the quarter, we experienced robust volume improvements in many regional markets, particularly North America and India. Additionally, we saw strong performance on our wind and roofing downstream and specialty applications, along with continued improvement in automotive. EBIT for the quarter was $60 million, up $4 million from the same period a year ago, with the benefit of higher sales volumes and favorable manufacturing performance, partially offset by furnace rebuild and production curtailment costs and continued pricing headwinds. Composites delivered 11% EBIT margins for the quarter. Full year sales were about $2 billion, down 5% as compared to 2019. The decline was driven by weaker volumes due to COVID-19 primarily in the second quarter, lower selling prices from negative year-over-year carryover, unfavorable customer and product mix and negative foreign currency translation.  In 2020, EBIT declined by $82 million to $165 million. For the year, favorable manufacturing performance and lower SG&A costs were more than offset by weaker volumes, the negative impact of production curtailments and negative pricing carryover. Slide 10 provides an overview of our roofing business. Roofing sales for the quarter were $702 million, up 33% compared with Q4 2019. The increase was driven by 36% volume growth, partially offset by lower third party asphalt sales. Price in the quarter was flat, with favorable transactional shingle pricing on realization of the August increase offset by higher rebates associated with stronger 2020 shingle demand. In the fourth quarter, the U.S. asphalt shingle market grew significantly as compared to the prior year. The market growth, which was higher than the expectation we provided in last quarter’s call, was a result of milder weather that extended the roofing season. Our volumes trailed the market in the fourth quarter as we continued to operate in sold out conditions with low inventory levels. EBIT for the quarter was $183 million, up $96 million from the prior year, producing 26% EBIT margins for the quarter. The EBIT improvement was driven by higher sales volumes in both shingles and roofing components, and the continued deflationary impact of asphalt.  Roofing sales for 2020 were $2.7 billion, up 2% versus 2019. The increase was driven by higher sales volumes of about 6%, partially offset by lower selling prices and lower third party asphalt sales. In 2020, roofing EBIT improved by $136 million to $591 million. The increase was driven by strong market volumes in both shingles and components, and strong manufacturing performance.  We experienced additional EBIT improvement from a price cost perspective, as the benefit of asphalt cost deflation and lower transportation costs more than offset lower selling prices. For the year, the business delivered EBIT margins of 22%, up approximately 500 basis points from 2019. Turning to Slide 11, I'll discuss significant financial highlights for 2020. As a result of disciplined actions taken to manage working capital, operating expenses and capital investments, and the recovery of our markets, U.S. residential in particular, we delivered record full year levels of operating and free cash flow. Our free cash flow for 2020 was $828 million, up $238 million as compared to 2019. Free cash flow conversion of adjusted earnings was 146% in 2020 as compared to 118% in 2019. In December, the Board of Directors approved the new share repurchase authorization for up to 10 million additional shares. During 2020, we returned $396 million of cash to shareholders through stock repurchases and dividends. At the end of 2020, 9.5 million shares remained available for repurchase under the current authorization. During 2020, we completed several deleveraging activities to further improve our credit metrics. These actions included repaying the term loan in advance of the February 2021 due date, repaying the mid 2020 borrowing on our revolver and contributing $122 million to our global pension plans. Based on our strong cash flow performance and deleveraging activities, we've maintained an investment grade balance sheet and are operating within our target debt to adjusted EBITDA range of 2x to 3x with ample liquidity. At year end, the company had liquidity of approximately $1.8 billion, consisting of $717 million of cash and nearly $1.1 billion of combined availability on our bank debt facilities. Earlier this month, the company's Board of Directors declared a quarterly cash dividend of $0.26 per share payable on April 2. Since inception in 2014, the dividend has grown an average of 7% per year. We remain committed to strong cash flow generation, returning at least 50% to investors over time and maintaining an investment grade balance sheet. Now, please turn to Slide 12, where I will provide our 2021 outlook for key financial items. General corporate expenses are expected to range between $135 million and $145 million, capital additions are expected to be approximately $460 million, which is below expected depreciation and amortization of approximately $480 million. While we are expecting growth in both capital and operating expenses as conditions begin to normalize over the course of the year, we remain committed to closely managing these investments. Interest expense is estimated to be between $120 million and $130 million. And finally, our 2021 effective tax rate is expected to be 26% to 28% of adjusted pre-tax earnings. We expect our 2021 cash tax rate to be 18% to 20% of adjusted pre-tax earnings. The growth in our cash tax rate as compared to our guidance the last few years approximating 10% is due to the utilization of substantially all of our U.S. federal net operating losses and foreign tax credits by the end of 2020.  Now, I'll return the call to Brian to further discuss the outlook for our company. Brian?
Brian Chambers: Thank you, Ken. Our 2020 performance demonstrated the value of our enterprise and the ability of our global teams to successfully execute on our operating priorities, even during challenging conditions. While uncertainties remain, we are well positioned to deliver another strong year in 2021 as we see the strength in our residential markets and improving conditions in our commercial and industrial markets continuing into the first half.  In keeping with prior practice, I will focus my outlook comments on the current quarter. Based on trends we are seeing to start the year, we expect the company to deliver significant revenue and adjusted EBIT growth in Q1 versus prior year.  Starting with insulation, we are seeing continued strength in new U.S. residential construction with lagged starts in Q1 up 12% versus Q1 2020. Our North American residential volumes are expected to largely track with the market during the quarter, and we continue to see favorable pricing based on positive traction from our January price increase. We are beginning to see some inflationary pressure in the business, particularly transportation costs, and recently announced a price increase for April. Our technical and other building insulation businesses are expecting modest volume improvement in the first quarter, as we continue to experience a gradual recovery in our commercial and industrial end markets across the globe. Pricing in these businesses is expected to remain relatively stable. Overall, for insulation, we expect first quarter EBIT to be about double what we delivered in the first quarter last year. In composites, we expect Q1 volumes to increase mid-single digits versus Q1 2020, given our strength in a few key regions and downstream applications supporting the wind and building and construction markets. We also expect to start realizing price gains from actions implemented as part of our annual contract negotiations. This, along with continued strong manufacturing performance, should generate first quarter EBIT generally in line with Q4 2020.  And in roofing, January shingle shipments were substantially higher than last year reflecting the strength in carryover demand from 2020. Based on this, we expect to see market volumes up approximately 25% in the first quarter. Against this backdrop, we continue to ship our available capacity and would expect our volumes to increase in line with this growth.  From a price cost perspective, we expect to deliver another strong quarter with some incremental price realization from our February increase combined with continued asphalt inflation, albeit at a slower rate than in Q4. We are seeing asphalt costs increasing and expect this to continue through the quarter turning inflationary in Q2.  Similar to our other businesses, we are also seeing increased inflation and recently announced a price increase effective the first week in April. Based on these factors, roofing EBIT margins in the first quarter are expected to be up year-over-year and more in line with the long-term operating margins we have discussed for this business of about 20%.  With that view of our businesses, I’ll turn to a few key enterprise areas. Our team remains committed to generating strong operating and free cash flow. In terms of capital allocation, our priorities remain focused on reinvesting in our business, especially productivity and organic growth initiatives, returning at least 50% of free cash flow to shareholders over time through dividends and share repurchases and maintaining an investment grade balance sheet.  In addition, we are also evaluating investments in bolt-on acquisitions that leverage our commercial, operational and geographic strengths and expand our building envelope offering. Overall, Owens Corning is well positioned to capitalize on our near-term market opportunities as well as several longer-term secular trends that will fuel our revenue and earnings growth moving forward, including the demand for new housing in the U.S., which has been under built for several years, and continued remodeling reinvestments as homeowners renovate their living spaces and upgrade their homes.  We also see growing opportunities to benefit from the drive for increased energy efficiency in homes and buildings, product safety and sustainability, material durability and performance and investments in renewable energy and infrastructure. Each of these trends creates opportunities for Owens Corning to leverage our material science, building science, and unique product and process technologies to partner with our customers and help them win in the market through additional products, systems and services.  Our team is proud of the results we delivered in 2020 and are excited about the opportunities we have in 2021 to service our customers, grow our company and deliver value for our shareholders. With that, I'll now turn the call back to Amber to open it up for questions.
Amber Wohlfarth: Thank you, Brian. We are now ready to begin the Q&A session.
Operator: Ladies and gentlemen, at this time we'll begin the question-and-answer session. [Operator Instructions]. And our first question today comes from Phil Ng from Jefferies. Please go ahead with your question.
Phil Ng: Good morning, everyone. And Ken, welcome and looking forward to working with you going forward.
Ken Parks: Thanks, Phil.
Phil Ng: You’re welcome. My first question is on the insulation business. Good to see Kansas City is ramping up nicely and volumes tracking more in line with the broader market in 1Q. But as you kind of ramp that up, Brian, is it an opportunity to catch up and outpace the broader market? And just want to get a sense, theoretically, with the capacity you have, what's your ability to kind of drive growth? Is it like 10% plus? Just want to get a sense of theoretical peak volume growth. Thank you.
Brian Chambers: Yes. Thanks, Phil. Clearly, we've seen a strong housing market come through with increased demand for insulation products. We saw that continue through the back half of the year, which is why we wanted to start up Kansas City. Currently, we're running our residential assets kind of full out to service demand. And so we expect with Kansas City coming up, that's going to help us to get in front of that a little bit better as we work through the rest of the first half into the second half, where we can get our service cycles back in line and certainly puts us in a position to continue to service some of the expected growth we would see if housing plays out against kind of consensus estimates, which are tracking closer to that 1.5 million starts. So I think we're really pleased with -- and I give hats off and a shout out to our manufacturing team in insulation. They've done a fantastic job to get the line ready and prepared to start up this month. So I think when we talked about Kansas City capacity coming on stream, we kind of talked about an average production line being about 3% of industry capacity. I said that Kansas City is a little bit bigger than that. So I think that gives a sense of kind of the production capacity that we're going to be bringing up in the network. And we do feel like that would give us an opportunity to continue to produce at a little bit higher pace than the light housing starts percentage. So it does give us a little bit of potential. Our focus first and foremost is on improving the service cycle to our existing customers though. I would say we want to continue to support them get that back in. And then we'll see as the back half plays out depending on demand starts, but we think we've got with Kansas City, with our other network optimization actions, our product and process technology, we've got ample capacity to service our customers here in '21 and it puts us in a great position as we move forward into '22.
Operator: Our next question comes from Stephen Kim from Evercore ISI. Please go ahead with your question.
Unidentified Analyst: Thanks very much, guys. This is Joe [ph] on for Steve. Good morning.
Brian Chambers: Good morning.
Ken Parks: Good morning, Joe.
Unidentified Analyst: We were looking through your K and your Q and you mentioned on the call this morning that North America price being positive. And we sort of backed into about a $6 million tailwind, which it implies something in the range of 3% to 4% if you just assume that's all North America resi. So first of all, if my number’s right in terms of what North America resi pricing was up in the quarter. And then, secondly, you mentioned even being optimistic about the realization of that, we're still going to have to work through backlogs. And so it might be some time before the price was coming in. But it seems like that's not what we actually saw in the quarter. We're seeing the realization already. So yes, if you could just maybe talk about, are you pulling even more price forward? Are people so keen on getting product now that you're actually getting better realization than you were even asking for in the fourth quarter? Obviously, we feel like with that April price increase that the 4 and the 8 [ph] that you’ve already asked for was not quite enough? So yes, just a lot to unpack there, sure, but if we could just understand a little bit better there.
Brian Chambers: Sure, Joe. I'll try to unpack it. Kind of taken it through the fourth quarter, I think we did see some positive realization in price in the quarter that was driven by resi primarily. So we did start to see the realization from that September increase playing through and strong demand kind of pulls that price increase through the P&L at a faster clip. So we did see that work through. And then our guide for Q1 is that we expect to continue to see some positive price realization really after January increase. And so we think that kind of builds some momentum here in the quarter and as we go through the rest of the year. But as we've looked at the business outlook for the rest of the year, and this is going to be a broad statement for our company, we're certainly starting to see some inflationary headwinds; transportation costs, material cost inflation, energy. So we wanted to make sure we were staying in front of that as best we could. And to do that, we announced an April increase that will be effective. So we think that helps kind of keep pace with some of the inflationary pressures. And we're working hard now with our customers to make sure that they can get that into their supply chain, so that they can get that realization. But that's kind of how we see pricing right now in the near term. We've got the realization of the January increase building some momentum, and then we've got the April increase coming up.
Operator: And our next question comes from Matthew Bouley from Barclays. Please go ahead with your question.
Ashley Kim: Hi. This is Ashley Kim on for Matt this morning. Could you just comment on where roofing inventory levels exited Q4 and where they sit today? And then maybe with that, how you're positioned to service demand in upcoming quarters? Thank you.
Brian Chambers: Thanks, Ashley. Yes, we saw, again, our roofing market overall and our shipments in Q4 just a really, really strong -- in fact, fourth quarter market shipments were the strongest that we've seen in 15 years. So that outpaced what we had talked about last quarter really more driven by just a pretty warm fourth quarter and winter season that extended the roofing season. So when we look at how that's impacted inventory levels, there's historically a bit of time at the end of the year and then the beginning of the year, where inventory levels get caught up both at the manufacturing level and at the distribution level. But given our strong demand, our inventory levels finished the year at historically low levels. So we started the year that way. So we're going to continue to be shipping at full capacity here in the first quarter. When we talk to customers, certainly, our belief is that our service cycles are pretty representative of what's going on in the industry. So we think it's going to be pretty tight. And that would lead us to believe that distributor inventory levels are also certainly below historical averages at this point in the year. So we believe we're going to continue to ship at full capacity. We think inventory levels in the channel are going to stay relatively low here probably through the first quarter, and potentially through the first half. And then maybe we get on top of this a little bit in the second half. Second half demand for the industry, we expect really good remodeling activity to sustain. But always the wildcard a bit is kind of storm demand and weather events, so we'll have to see how the rest of the year plays out. But certainly first quarter, first half, we think demand is going to be strong, we think inventory levels are going to stay pretty low and we're going to ship all that we can produce.
Operator: Our next question comes from Kathryn Thompson from Thompson Research Group. Please go ahead with your question.
Kathryn Thompson: Thank you for taking my question today. First, focusing on the composites segment, expectations were pretty muted for Q4 results, particularly in light of rebuild costs and others but obviously meaningfully outperformed and appears that volumes improved as the quarter progressed, based on commentary from the last quarter call. How much of this upside was driven by strong domestic roofing demand versus structural increases in wind demand given a change in administration versus other factors that you mentioned in [indiscernible]? And then along with that, given the inflationary environment we're seeing now and the likelihood of prices going through '21, how much do you think may have been pull forward demand and your thoughts on how green initiatives in the current administration impacts this segment going forward? Thank you.
Brian Chambers: Thanks for the questions, Kathryn. I'll try to get through those as best I can here. Just talk maybe a little bit about fourth quarter. Without a doubt, if I just step back a little bit in our composites business, our focus has been kind of twofold. Commercially, we've been very focused on key markets and geographies where we have a market leading position, great manufacturing capability, the Americas, North America, Europe, India. And then we've been focused on kind of these higher value downstream applications; wind energy, building and construction with non-wovens. And so when we look at how that has played out from a demand standpoint, I think we saw in Q4 volumes just tick up and increase pretty much in all of our major markets, and in our downstream applications. So I would say it was a broad-based demand driver in the earnings performance in the fourth quarter. And we saw that just continually step up month-over-month sequentially through the quarter. So candidly, we were a bit surprised by the strength we saw broadly in all the markets, all the downstream applications. And that really kind of fueled the volume beat. And the second part of our strategy in composites has been to build out the most cost effective network, really focused on productivity, manufacturing performance. And so all that volume just kind of dropped through in earnings growth. So it's a great, I think, just testament to the strength of that business and the model that we've created there. So I think that's what drove the beat. Now, if we kind of carry that forward into Q1, we expect that we're going to continue to see pretty strong demand sequentially in Q1. A couple of things that impacted Q4, so to your question, we did see some customer replenish rates. Our best view would maybe be 10% to 15% of that volume in Q4 was customer replenishments as they see kind of their end markets picking up. So, that we don't think repeats in Q1, but that was a little bit more of a driver that we saw getting completed. And then as you mentioned, wind energy was a big driver. In the downstream application, we saw a lot of projects getting completed in Europe and in China, for example. And then we saw automotive strengthen in the quarter. So those are kind of big end market applications that we saw just sequentially improve through the quarter. And now as we roll over into Q1, we expect that that demand is going to stay pretty, pretty good for us. I think, again, Q1, we're not going to expect to see the demand replenishment that we saw in some customer inventories. And we do get the impact of kind of Chinese New Year that always steps down demand in Asia Pacific. But, overall, I would say the fundamental demand trends that we're seeing in wind energy, building and construction, automotive improving, manufacturing activity increasing, we see that continuing to get stronger in the quarter and we think that sets us up well. Your last part of your question I guess on the administration, certainly there's been a lot of focus more on infrastructure and sustainability in renewable energy. And that plays very well into our composites business in terms of where we put a lot of glass fiber demand and infrastructure projects, telecom, roads, bridges, and then certainly in the wind energy, which is about 10% to 15% of the overall glass market demand, that could continue to accelerate that and we have a leading share position there. So we think some of the trends that we're seeing there and some of the administrative focus areas should be complementary to our business and should give us some nice tailwinds.
Ken Parks: And in fact, I would say, outside the U.S. we’re already hearing talk that in China, they may be extending some of the credits for the wind energy programs that expired I think at the end of November of last year. So not just a U.S. comment, but also some positive on the green side internationally.
Operator: And our next question comes from John Lovallo from Bank of America. Please go ahead with your question.
John Lovallo: Hi, guys. Thank you for taking my questions. Maybe just dovetailing off Kathryn’s question on composites, there's been pretty well publicized auto production curtailments given some of the chip shortages we're seeing. I think the industry is talking about 1 million units being impacted in the first quarter. Wondering how that's contemplated into your outlook? I think it's about – it’s at least 25% of the glass market, if I remember correctly.
Brian Chambers: Yes, John, you’re correct. Automotive is about 25% in there. We're seeing some of that a little bit in Europe, but I think those curtailments will probably flow through but it may not flow through this quarter, maybe more into the second quarter because it depends on how are customers kind of buying inventory and produce materials. So there is a bit of a lag in that supply chain, but not clear in terms of how much that might impact. But I'd say in general, we do expect automotive for the full year to certainly ramp up and increase quarter-to-quarter. We might see a little bit of variation in that, but everything we're hearing from our automotive downstream partners is that they expect production to increase and improve throughout the year.
Operator: And our next question comes from Mike Dahl from RBC Capital Markets. Please go ahead with your question.
Mike Dahl: Thanks for taking my question. I wanted to ask about roofing on the cost side. You talked about how [indiscernible] still tailwinds but diminishing in 1Q from asphalt cost and flipping to inflation. I think you guys did about $90 million in terms of the tailwind in the full year of 2020 from costs. How should we be thinking about that based on what you can see coming through on asphalt? Just ballpark magnitude of cost inflation we should be thinking about for the year.
Brian Chambers: Yes. Thanks, Mike. Certainly, asphalt has been a nice tailwind for us in 2020, particularly the last kind of couple of quarters as we saw that come through the P&L. And as I did talk about in Q4, we actually saw our monthly asphalt costs increase month-over-month through the quarter and that’s a little bit unusual, given the fourth quarter. And we see that trend continuing to start in the first quarter. That asphalt costs have been moving up month-over-month, January from February. So that was part of the guide in terms of we would expect to see continued deflation through the P&L here in Q1, albeit at a much less than what we saw in Q4. And then given that just kind of sequential month-over-month increase in prices, we would expect to start getting into an inflationary environment in Q2 and kind of continuing forward. So, I would expect that to start hitting us more modestly in Q2 and then ramp up in the back half of the year. The magnitude right now is kind of tough to quantify as we sit here today. There's two big drivers to asphalt costs. One is going to be underlying just oil costs and WTI costs. Those have ramped up pretty significantly the last couple of months. So part of this depends a bit on how particularly WTI, oil prices move up through the year and asphalt gets played off of that. I'd say that historically, the last kind of 18 months we've seen asphalt costs stay stubbornly high relative to WTI. So when WTI moved down last year, asphalt cost did not move down as much. But they've seemed to be creeping up at a faster rate. So that's something we're watching. And the other big driver on asphalt costs for us that we'll continue to watch is refinery utilization rates. Asphalt is a byproduct of the refining process to make jet fuels and diesel and gasoline. So right now refinery utilization rates are still running at below normal levels, so that curbs the amount of asphalt supply and that impacts pricing. So I think those two factors, WTI cost and then refinery utilization rates are going to dictate more in terms of our asphalt costs as we progress through the year. And we'll be able to try to shape that a little bit more on a quarterly basis as we move through 2021.
Operator: And our next question comes from Michael Rehaut from JPMorgan. Please go ahead with your question.
Michael Rehaut: Thanks. Good morning everyone and congrats on the results. First question I had or I guess my only question is on roofing. Tremendous success there from a margin standpoint. Your guide for the first quarter margins, down a bit from 4Q and from the second half I guess of 26%. How should we think about normalized margins? You kind of said that you characterize the first quarter margin of 20% kind of roughly your long-term view of the business. Is that still the case? And obviously understanding that the back half benefited from extraordinary buying strength as well as asphalt tailwinds. And also if I could just sneak in kind of thinking about the second quarter, I know you've only given first quarter so far in terms of guide, but if we're expecting more inflation to flow through in the second quarter and maybe you're not going to get the full impact of pricing, is it fair to expect a little bit of sequential margin contraction for roofing and insulation in the second quarter relative to the first?
Brian Chambers: Yes, great questions. So let me talk about margins kind of overall in roofing. We think the long-term guide of roofing to be about 20% is still a very good guide given the strength of our brand, product position, our components business that we have, we still think that works well. Like we've said historically, where we get into a little bit more of a deflationary environment, we can see margins move up above that. In inflationary environments, at times we lag being able to capture price. So we may lag a bit, but ultimately our history of our business and it goes back a little bit about even in an inflationary environment in asphalt, we've got a great track record for being able to offset that inflation with price over time and to sustain those margins. So I think we feel good. I think you're absolutely right. In the back half of the year, we really got the benefit of some asphalt deflation kind of coming through, some stronger volumes that elevated the margins. And I think that's always a potential in the business to kind of run at that range where we get good volume, either good pricing or some deflation that we can ramp up. But I still think the 20% longer term is a good guidance set. I think as we think about Q2, we could see some inflationary pressures, transportation and asphalt coming into the business. We do have a February pricing freeze that we've implemented and that we're getting some good realization at. It's also a reason why we announced for an April price increase to try to curb that kind of impact on any additional asphalt inflation that we might see through the year. So I think we feel good about the margin performance in the business in the long term. And certainly we feel like we've taken the appropriate pricing actions, given the inflationary environment we're coming into, to kind of stay on top of that and still generate really good margins even as we go into Q2. And I think some of the inflationary headwinds that you asked about in insulation, certainly, we're going to start seeing that come through. But again, in insulation it's a similar story around the price realization, right? So we've announced and we've implemented a January increase in resi insulation that we're seeing some good realization around. We've announced in April 1 there, given the inflationary headwinds. So, yes, we're going to try to stay in front of some of these inflationary headwinds, at least keep pace, so we don't see that margin contraction as some of these inflationary costs hit the P&L Q2 and into the back half of the year.
Operator: Our next question comes from Garik Shmois from Loop Capital. Please go ahead with your question.
Garik Shmois: Great, thank you. Congrats on the quarter. You mentioned several one-off capacity projects that you took on last year, but just given how low roofing inventories are, do you foresee adding more meaningful capacity over the next one or two years to meet the demand moving forward? And then similar question on insulation. I think the KC line got you where you needed to be for about 1.4 million to 1.5 million starts. And just remind us how much more cold capacity you have in insulation to bring on if needed?
Brian Chambers: Thanks, Garik. On roofing, when we look at capacity adds, this is something we do on a fairly routine basis. We did do some projects late 2019, early 2020 at four or five of our roofing plants that provided incremental capacity. So given the material conversion nature of that business, we can get productivity throughput with automation, with different pieces of equipment and we tend to look at that and make those investments on a routine basis to try to get incremental capacity kind of every year along with our ongoing productivity initiatives. So we do feel we've stepped up capacity and have more land capacity today than we would have a year ago or two years ago in the network. I think broadly, I would not think we need to do massive capacity expansion adds. When we look at our capacity in our current network, we feel we've got ample capacity to service even our 150 million square market like we saw last year. The issue is timing and the seasonality of the business. And we need to be able to build inventories at the beginning of the year, or at the end of the year in order to service the demand peaks that we see generally in Q2 and Q3. And that just didn't happen. 12 months ago, we were facing into the pandemic. We shuttered some production end of Q1 last year. Q2, we never did an inventory build. That was on top of distributors destocking. So, we came into the back half of last year with low inventories at our manufacturing facilities and low distribution inventories. And we've been playing catch up ever since to be quite frank. So I think on a more normalized basis, we have enough capacity to service our share position at 150 million square market. But we're going to need to work through that just to rebuild inventory positions to get back to that service level. On insulation, it's a bit of a similar story. We had some incremental capacity at KC. That's the immediate one that we chose to ramp up. It's cost effective. It allows us to serve as kind of the heart of the market. We do have some other capacity there. It's a little bit higher cost and tough to service the market around. So I think we'd be very careful in terms of ramping up any additional lines unless we saw an extended period of housing starts climbing above 1.5. We believe with Kansas City, with our other productivity and process improvements we've made in our network, we're in a good position to service our customers at that kind of 1.5 million housing market. So I think we'd have to see something well north of that before we think about any additional capacity adds in the network.
Operator: And our next question comes from Susan Maklari from Goldman Sachs. Please go ahead with your question.
Susan Maklari: Thank you. Good morning. My question is around how to think about the cadence of the business as we think about 2021. You're coming into the year with very strong backlog across all three segments it seems and a lot of volume that's going to be met in there. How should we think about the earnings cadence though for first half versus second half, given some of the comparisons that you'll face as we move through the year? And I guess with that as well, have you seen any disruptions recently with the extreme weather that we're getting in parts of the southern parts of the country over the last couple of days?
Brian Chambers: Yes, thanks for the questions. Maybe I'll start with the disruptions. And the short answer is yes. We have been impacted. It's impacting several of our plants. I'd share with you our first quarter guide was assuming that this was going to be a very short-term and short-lived event. As we sit here today, clearly, it looks like it's getting extended a little bit. So we could see some incremental impact, particularly in our residential facilities where we're in a sold out position where we have to curtail and we've had to shut down some facilities, we've had to curtail production and that could potentially impact the quarter if this continues on for another several days. So that's something we're watching very carefully. Our manufacturing teams, our supply chain teams are just doing phenomenal work trying to keep our facilities heated, our employees safe and be ready to ramp up as soon as we're able, but that is a concern we're watching in the near term. We hope it doesn't have a big impact, but that's something we're going to watch and see. In terms of the shape of the year, I think you make a great call out that given where we're coming in with strength in our residential markets, improving conditions in our commercial and industrial markets, we do expect to see some meaningful increases in terms of revenue and earnings in the first half of this year versus the first half of 2020. And then when we get into the back half, we're going to face some tougher comps. But I think the demand of our end products is ultimately going to drive if we can continue to see some earnings growth and revenue growth in the back half of the year. We certainly think that's possible, given the strength of the markets we're seeing that that could continue forward. But I would expect the shape of the year to be some fairly large improvements year-over-year in the first half, more modest ones in the back half. But we still think we're set up for a very strong 2021.
Amber Wohlfarth: Jamie, we have time for one last question.
Operator: And our final question today comes from Adam Baumgarten from Credit Suisse. Please go ahead with your question.
Adam Baumgarten: Hi. Thanks for taking my questions. Just on roofing volumes, the business trailed the industry in the second half of '20. You're expecting more in line industry growth in the first quarter. I think, historically, you've shown an ability to recapture some of that loss share. Do you expect that as we move through 2021 beyond the first quarter?
Brian Chambers: Yes, we do. I think our contractor network position stays very strong. Our distribution positions are very strong in terms of our share positions. I think what we saw on Q4 was we had a little bit of a geo mix headwind in some markets that were stronger given our overall national share position. And then we probably lost a little bit of discretionary storm demand. That business tends to be very short cycle. And if you have to replace your roof, you're generally going to use a product that’s available to you. So we might have lost a little bit of discretionary share there in the quarter around storm demand, but the fundamentals of our business are very strong. We've got a great contractor network. They're focused and their business is build around our brand, our products, our commercial team, we think that's longstanding. And so we do think as we work through the year, we get our inventory position set that we would get our share position back to that historic average.
Operator: And ladies and gentlemen, we have reached the end of today's question-and-answer session. I'd like to turn the floor back over to management for any closing remarks.
Brian Chambers: I'll just very briefly really appreciate everybody's time this morning. Thanks for your questions. Our team is executing well and we believe we're well positioned for another strong year in 2021. So we look forward to speaking to you again in April. And until then, I hope your families remain healthy and safe. Thanks for joining us today.
Operator: Ladies and gentlemen, with that, we’ll conclude today's conference call. We do thank you for attending. You may now disconnect your lines.